Operator: Good day, ladies and gentlemen. And welcome to the Second Quarter 2014 Tenaris SA Earnings Conference Call. My name is Jackie, and I will be your operator for today. At this time, all participants are in a listen-only mode. And towards the end of the presentation we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Mr. Giovanni Sardagna, Investor Relations Director. Please proceed.
Giovanni Sardagna: Thank you, Jackie. And welcome to Tenaris 2014 second quarter results conference call. Before we start, I would like to remind you that we will be discussing forward-looking information during the conference call, and that our actual results may vary from those expressed or implied during this call. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and Member of our Board of Directors; Edgardo Carlos, our Chief Financial Officer; German Cura, Managing Director of our North American Operations; Gabriel Podskubka, our Managing Director of our Eastern Hemisphere Operations; and Javier Martinez Alvarez, Head of our Operation in the Southern Cone. I would like to start by mentioning that we will host an Investor Presentation in New York on October 16th and we hope to see many of you there. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our results. During the second quarter of 2014 sales [Technical Difficulty] second quarter of last year and sequentially. The sequential increase was driven primarily by a record level of sales in Sub-Saharan Africa affecting the seasonal effect in Canada. Our EBITDA reached $702 million which was 4% lower than the corresponding quarter of last year and 2% lower sequentially. Our EBITDA margin at over 26% continued to maintain a good level, but was impacted by higher SG&A expenses mainly due to higher service costs and the less favorable logistic mix. Average selling prices were flat compared to the corresponding quarter of last year and up 2% sequentially. Thanks to a better seamless welder product mix. Our second quarter sales of high-end seamless products were 61% of our total seamless volumes. During the quarter, cash flow from operations remained strong at $566 million and we ended the quarter with a net cash position of $1.3 billion after the payment of $354 million in dividends we paid in May. Now I will ask Paolo to say a few words before opening the call to questions.
Paolo Rocca: Thank you, Giovanni, and good morning to all of you. The recent determination by the U.S. Department of Commerce to impose duties on the import of OCTG from nine countries, including South Korea, is a significant for Tenaris. Duties is confirming the injury ruling by the U.S. International Trade Commission scheduled for August 14th would provide a welcome relief to the U.S. domestic producer, allowing sales to increase and profitability to recover. In the first half of the year, imports from the southern countries accounted for 29% of U.S. OCTG demand and the share of imports from South Korea alone exceeded the share of the largest U.S. producer. Our sale in North America represented 45% of our total sales in the first half of 2014 and we are investing in strengthening our U.S. (indiscernible) system in the expectation that the U.S. and North America will be a significant driver of growth for Tenaris in the coming years. In May, we concluded negotiation with GSE in Japan to extend and enforce our NKKTubes joint venture for a further 15 years until 2013 -- 2030. Since 2000, this joint venture has been important for Tenaris, extending our product and R&D capabilities, including high chromium alloy pipes using corrosive environment and giving us an important industrial capacity in the Asia-Pacific region. Additionally, in July, we renewed our alliance with Sandvik for the joint supply of corrosion resistant alloys CRA materials for complex welds and agreed to work together to develop new materials for the industry over the next five years. During the second quarter, we had a record level of sales in Sub-Saharan Africa, which accounted for 8% of total sales in the quarter. We confirmed our leadership in the region of shore project with the award of the principal of shoreline pipe package including coating and double jointing services for the Kaombo deported development in Angola. In Brazil our sale will remain very low this year with virtually no shipment for line pipes project and lower sales of surface and conductor keys. During the quarter we were finally awarded the contract to supply the Roto 3 pipeline in Brazil, which will transport the hydrocarbons from the Lula Field to the Comperj processing facility in Rio de Janeiro, delivery will be made during 2015. Following five consecutive quarters of a high level of shipment to the Middle East, our sales and product mix in the coming quarters will be affected by inventory adjustments at Saudi Arabia who plan to reduce OCTG inventory levels from now until the end of 2015. Our sales to (indiscernible) include a particularly rich mix of product reflecting the complex sour high-pressure environment in which it operates. This year growth in North American sales will support our results and we confirm our previous guidance that our full year results will be in line with those for 2013. Our extensive investment plan to support our future growth and respond to increasing complexity of the operation of our customer is proceeding on schedule on all fronts and in every region. With our strong cash flow from operations which in the first half of 2013 amounted to US$1.2 billion. We continue to strengthen our financial position, fund our capital expenditure and meet dividend payments. We can open the floor for questions now.
Giovanni Sardagna: Hello.
Paolo Rocca: Hello. We have down communication.
Giovanni Sardagna: Currently, sir.
Edgardo Carlos: You know, what to do.
Operator: (Operator Instructions) And your first question comes from line of Igor Levi with Morgan Stanley. Please proceed.
Igor Levi - Morgan Stanley: Yes. Good morning. And so, it looks like 2014 is shaping up consistent with what you have guided all along, looking to 2015. Looks like you could see a large uplift in Latin America with the new Brazil contract starting up and U.S. trade case ruling pushing your prices higher? So could you give us a glimpse into 2015 and what headwinds or tailwinds you may expect?
Paolo Rocca: Thank you, Igor. The, if I should say, where we see that, let’s say the issue that will affect 2015 for Tenaris. For sure the dynamics of U.S. market is a major factor. If the ITC confirm and the determination of injury, there will be changes would be underway in the U.S. market, reduction of the level of imports in Korea ship and from the domestic producer changes in price level for different product and then 2015 will be marked by dynamics of an increasing demand for shale oil. In our view, we cannot anticipate today creating shales for gas, but for sure the trend of draining for shales and oil will continue. On one side dynamics of the demand, on the other side the positioning of the different producer on the market. I think this will be a major factor for Tenaris. The second one is Mexico. After following the approval of the secondary lows, gradually the export in Mexico should drive increased activity in Mexico by Pemex, by venture between Pemex and private and by private initiative maybe later. This will be a second factor that could affect dynamics of Tenaris there. Third point is Argentina. In spite of everything, I think that on the medium brand, the back on worth the development will get seen and will kick in so we may have, this will also be, in my view, a factor affecting Tenaris in the medium run in 2015. The fourth point is deepwater, activity in deep deepwater is increasing year-by-year. We estimate in the range of something between 10% and 12% every year. We are strong in that segment and we expect that in different parts of the world, activity in this will drive some of our high value-added product demand. On the other side, as I mentioned, Brazil, we will increase -- we will be shipping our Roto 3 project but activity the stocking will be underway Brazil and will be underway also in Saudi Arabia. Saudi Arabia, we do not expect so much movement especially in the first part of 2015, there will be a reduction of inventory going on we expect until the end of 2015. So this will be not so much dynamics on that market. This will be the main factor in my view that will affect the medium-term perspective for Tenaris.
Igor Levi - Morgan Stanley: Great. That’s very helpful. And how do you envision this having an effect on your mix with the U.S. is pretty strong, but you have more semi-premium and commoditized type API pipe there? On the other hand you see offshore growing quite strongly, also Argentina, I am not sure exactly the type of mix that your effect you are seeing there, given more shale driven drilling? So could you touch on that?
Paolo Rocca: Well, what we can expect in the United States provided that to confirm the determination for damping the injury. Is that the domestic supplier should be prepared, including Tenaris for sure, should be prepared to supply a large range of product, API product, building the lower end of the value-added chain. But also product like a semi-premium that the market is increasingly demanding. Increase in the API demand, especially in the U.S. may shift our mix slightly into higher low-end components, but still I expect that the demand for premium in the world will continue to grow gradually once especially that the Saudi Arabia de-stocking phase-out gradually, because the real activity Saudi Arabia the consumption is strong and is growing. Inventory of (indiscernible) will go on for a while, but gradually the premium demand worldwide will increase and Tenaris will be there. But as a whole if we compound it to effect, I would say that probably the percentage of our high-end maybe slightly lower in 2015.
Igor Levi - Morgan Stanley: Great. Thank you very much. I will turn it back.
Operator: And your next question comes from the line of Bill Sanchez with Howard Weil. Please proceed.
Bill Sanchez - Howard Weil: Thank you. Paolo, I just wanted to ask you with regard to Sub-Saharan Africa. Once again noted in yesterday’s release that significant growth there and I know you have talked on past calls, I think, last quarter year-over-year growth of 74%? You called out it will be down in 3Q, I am just trying to get a sense is, is this really just a one quarter low you expect in kind of order rates for that region or has there been some pre-buying going on that now maybe similar to where Saudi is, is that there is going be some inventory adjustments perhaps going forward that would make this more than kind of just one quarter of low, if you will, in your order rates in that region?
Paolo Rocca: Thank you, Bill. Well, in general, I think that our sales activity and our sales to Sub-Saharan Africa is increasing year-after-year, but quarter-by-quarter, there could be a shift. But let, I will ask Gabriel Podskubka to comment more precisely on the reason and impact of the situation in the demand.
Gabriel Podskubka: Yes. Thank you, Paolo. Good morning, Bill. Yes. In fact we’ve posted record revenues of in Sub-Saharan Africa, this quarter we were driven by strong demand of the quarter and expiration activity in Angola and also in East Africa. We expect, in fact, the next quarter to be lower in shipment given this concentration of shipment that we had in the present quarter. But we also expect to resume a higher level and end of the year with a good quarter, given development campaigns that we are preparing in the Congo and in Ghana. So, overall, as Paolo was saying, 2014 would be again and as you commented from last quarter, will be again a year-over-year growth probably in the two digits. So still this continues to be a growth area for Tenaris.
Bill Sanchez - Howard Weil: Great. I guess, this is my follow-up, just any thoughts as it relates to Argentina, specifically the default here? How should we think about in terms of any kind of balance sheet impact or any thoughts you could give us in terms of? Does this actually provide maybe a bit of a reset to see Argentina ultimately get a little bit busier here as we think about going into 2015, any thoughts would be appreciated?
Paolo Rocca: Well, I think it is too early. First to understand exactly which would be the outcome of this. I think discussions are underway. I don’t think this is something that means that no negotiation underway or would not be underway in the coming weeks. There would be, I think, discussion, I imagine. Second is also, I think, difficult to anticipate the impact that any solution or non-solution could be on the economy or on the possibility of developing the oil sector in Argentina. In general, I think that there are very strong fundamentals for investing and developing oil resources and gas resources, especially from Vaca Muerta in Argentina. The country is importing expensive gas. The areas off of Vaca Muerta is prone for shale development for environmental and the reason, condition both for this, it needs a lot of elimination analysis and probably, technology needs to be developed for this specific play. But in the end, fundamentals are there. So it could be in the medium run, but I think this development of this area will happen. It is difficult today to understand the real impact of negotiation or default in this moment.
Bill Sanchez - Howard Weil: All right. Fair enough. I appreciate the time. I will turn it back.
Operator: And your next question comes from the line of Stephen Gengaro with Sterne, Agee. Please proceed.
Stephen Gengaro - Sterne, Agee: Thank you. Good morning, good afternoon. I wanted to follow up on the U.S. market. And you talked about the trade case and the possible impact. And I wanted to see if you could go into maybe a little more detail. But specifically I think you mentioned import volumes dropping. And I was curious if you thought that volumes from South Korea would affect drop significantly or if it would simply be more of a positive pricing impact and how we should think about that?
Paolo Rocca: Thank you, Stephen. I will ask German to get deep on this and to answer your question.
German Cura: Thank you, Paolo. Good morning, Stephen. And just briefly, Stephen, the view we have is, a, the trade case has not concluded yet. We have a DOC final determination that found 10%, 15% margins on Korean imports. But we still need to wait until August 14 for the final ITC determination. Now, three things are true. Number one, Korea did about 925,000 tons of imports during 2013 and about 750,000 in the first six months of 2014. It is our understanding that the biologic result that we saw yesterday there is, I think, directly related to the notion of this 15%, 10%. Finally you will see determination that was found in Korea. Now going forward, we need to ultimately understand what the final determination is, ITC final determination is. We frankly believe that and we’re confident that the elements will reconfirm that the industry, domestic industry has been injured. And when and if that is confirmed, we sense at this level of import, particularly from Korea, are simply just not sustainable.
Stephen Gengaro - Sterne, Agee: Okay, that’s helpful. And then as a follow-up, have you -- I think you have lost -- I think the average price in the U.S. is down, I don’t know, 13% to 15% over the last 12 months. Would you expect to recapture that? Is that a good kind of guesstimate as you go through ‘15 or would you think about it in a different way?
Paolo Rocca: Well, this is an excellent point because while we have talked about strong demand in the U.S. associated to recount increase, absolute recount increase and drilling efficiencies increases over the course of the last year, year and a half. At the same time, we’ve seen biologics coming down to a level of about 14%, which is totally opposite to what it should have been. Now we believe that we should see some gradual recovery. And I think yesterday, say, biologics is, I think, the first material indication of that.
Stephen Gengaro - Sterne, Agee: Thank you, German.
German Cura: Thank you.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of Michael LaMotte with Guggenheim. Please proceed.
Michael LaMotte - Guggenheim: Thank you and good morning. German, I’d like to follow up on the determination, in particular, the injury element of it. Because I think there is a view in the investor community that 10% to 15% is not punitive enough to stem the tide of Korean pipe, particularly given that Korea doesn’t have an alternative outlet other than the U.S. So, can you speak specifically to what gives the injury determination teeth in your view?
Paolo Rocca: Well, Michael, it is Paolo speaking. I think you’re right. For sure, the industry, the United States has been severely injured by the level of import. And if the ITC determine in the sense the injury will -- the industry will recover from this injury. From my point of view, with some additional volume and some additional price, which are the teeth of the determination. Well, you know for the -- according to the law in the United States, once the case has been established, the importer of pipes from the country that are subject of this decision will have not only an additional cost for paying the duty but also the contingent risk offers success determination than later on, that reconsider during the period, the real level of dumping that could be imposed retroactively on this. So in the end, it will not be without risk for any importer to import pipe from this region because they could be subjected to a successive determination that could apply to the entire period in a retroactive way. This has been always so and this is something that impose additional attention -- caution by the importer in managing very high level of important material in that condition. This is something that tool could contribute to raise the overall price and cost of importing this material into the United States.
Michael LaMotte - Guggenheim: That’s very helpful. Thank you. And if I could follow up on the volume side for Tenaris, at 199,000 tons of welded pipe in the quarter, that is the lowest level that we’ve seen since the recession and about 45% of recent highs. And yet even at 450,000 tons, Tenaris would be roughly 5% of the overall market demand as it stands today. So there is quite a bit of leverage in getting your volume back. Could we actually see a volume recovery of 30%, 50% next year in your welded volumes?
Paolo Rocca: Well, I don’t know if we can let’s say recover so much as you are indicating. But I would ask German, how is your feeling on the medium term. I mean, how this could turn into our position and into the dynamic of the market and the import.
German Cura: Thank you, Paolo. Good morning, Michael. Well, I think first observation on the quality volumes. I think, Michael, it is fair to say that the numbers reflect both the Canadians early spring break together with some naturally Brazilian welded sales that given the overall Brazilian situation, we have not. Now going forward, I will lead back to the point that we were making before. If injury is finally confirmed, I think domestic industry in general and we, Tenaris, in particular are prepared to ultimately source the existing demands of the U.S. industry. And with that, I believe that U.S. mills, welded U.S. mills would be in a position to expand the present utilization there as we heard it out.
Michael LaMotte - Guggenheim: Thank you, German.
Operator: And your next question comes from the line of Paula Kovarsky with Itau BBA. Please proceed.
Paula Kovarsky - Itau BBA: Yeah, I’d like to ask a question about Mexico and just to get a little bit more of a sense on how fast do you guys expect demand to pick up in that country. There’s a few steps to go. You have run zero. We need to understand whether Pemex will be able to farm down from round zero, then you have round one. So how fast do you expect demand to pick up in that country? And the second question relates to local content there, which is still an issue that is being discussed. And to be honest, I would like to understand what exactly local content means in Mexico in the context of the NAFTA, if U.S. shipments will be considered local or not in our view in that country.
Paolo Rocca: Thank you, Paula. I think on this I would ask Guillermo Vogel to answer on the two questions, one on the impact of the changes, the other one on the local content in the development of the energy industry.
Guillermo Vogel: Yes. Thank you, Paolo. Hello, Paula. In terms of the demand for Pemex, I would say that what you have to consider is that we are starting to develop from a low level because it has been a difficult year for Pemex. Since they had this uncertainty about what they were going to be granted to operate in. I think that has limited somehow the operation of this year. Together with some operational problems that Pemex faced in terms of -- at the beginning of the year, problems with one subcontractor that was having a big operation for Pemex and was found throughout and that limited their operation and affected some of the sea activities. Right now, we are seeing there has been some problems in some communities in Tabasco. And so what we are seeing is within the normal operation of Pemex, we see a second half which is going to be better than the first half, for example, in double digits. And then also during 2013 and 2014, there were some bids that were granted by Pemex, which we are going to start to see in 2015. So before the effects of the actual energy reform, we are seeing still at 2015 a double-digit growth for Pemex. As you know the laws are right now being closed in Congress. We expect the laws to be fully approved within the first two weeks of August. And with that, then we are going to see the round seal which is going to be finally determined by September 17. And from there -- I think we are going to start to see the process opening for bids both farming out and in terms of contracts which probably, we are going to start to see in 2016 and then 2017. So we will see growth in Mexico for the next year, not related directly to the energy reform. But then we see a consistent growth which is going to be derived by the energy reform. In terms of the national content, the President granted or proposed a national -- a minimum national context of 25% which has been increased to 35% by Congress. So this 25%, the way it is being proposed today and I think the way it is going to be accepted is that by 2015, there has to be a national content of 25%, and that is going to be growing to 35%. And in terms of NAFTA, I think that the way the law is drafted that is basically going to be limited to Mexican committee. And I think this is…
Paula Kovarsky - Itau BBA: Okay. And if I could follow up quickly on Brazil. I mean, we have seen one of your competitors having to recognize losses in the region. And we hear slowdown in demand from the side of Petrobras, huge concentration on production as opposed to exploration. I know this is not your direct market for seamless, but how do you sense demand in Brazil?
Paolo Rocca: Well, we perceive that Petrobras had a problem of cash flow, negative cash flow for a while. It has been reducing to some extent its investment and is also asking to the supplier to contribute to the reduction of working capital. This is affecting the producer and the region is affecting us also. It affected us starting with the line pipe project. Line pipe project has been stopped for a while. This year, we will be shipping very, very low volume of line pipe project and we will start back with Rota 3. In the case of drilling and casing and tubing, we are supplying something like 20%, 25% of this market from our facility. And we also perceive the slowdown, especially in the reduction in inventory by Petrobras. The reduction in actual drilling has been not so big, but the reduction of inventory is important. So this is affecting this component of our business. Line pipe anticipate the trend but what we can expect is that during 2015, we will perceive still the impact of the destocking in Petrobras for casing and pipe. By the way just in these days, we successfully tested and ran one of our products, that is very important for Petrobras is, a connector that has been run in the wrong corridor or field just in these days. This is important for us because on connector is part of our market share, let’s say, in the demand of Petrobras and we expect with this product to be able to have increase our sales during 2015.
Paula Kovarsky - Itau BBA: Okay. Thank you.
Operator: And your next question comes from the line of Caio Carvalhal with JPMorgan.
Caio Carvalhal - JPMorgan: Hi, good morning. I think many of my questions on geographical details was already approached and met by my colleagues. So I will jump into -- I had one specific question on the results and one on the forecast for 2015. Specifically, on the results, I noted that the costs in general, but particularly the SG&A increased, not significantly but increased a little higher than I was expecting this quarter. So, let’s understand where this increase came from and if there is anything that we could consider in our projection related to SG&A going forward? And the second question is when I look to -- when we looked at 2015, I understand that you were not or you’re not comfortable or not willing to provide any more specific guidance as of now. But, I just wanted to understand, the expected level of growth for year-over-year in 2015 should be something and I mean it’s very, very hard to be something comparable to what we saw in 2011 when we had the boom in the shale demand in U.S. But could we see -- could this 2015 growth could be something similar to what we saw in 2012? Or are we are talking about some more mild let’s say low single digits. Again, I am sorry if you are not willing to provide not even the level of detail, but I was just trying to get the sense on what type of growth are we looking to? Those are my questions. Thank you very much.
Paolo Rocca: Thank you, Caio. The first question of SG&A, I will ask Edgardo Carlos to answer on the reason for this increase and perspective that we see looking ahead.
Edgardo Carlos: Okay. Good morning, Paolo. This quarter, we have some logistic mix effect. And also, we have some increased -- not representing increase and some expense related to services basically in this quarter. Looking forward for the whole year, we maintain our guidelines that we will be basically on the 19% on sales for the SG&A. The second question considering where we can be in 2015, I think I tried to answer to this question previously. Now in the casing which are the driver of our business, I think it’s too difficult to be much more precise in this. There are clear uncertainty on the different front on the trade case, the situation in Mexico and Argentina, but I hope you get from this driver an idea of where we want to be. We do not expect a major change from our cost structure. On the contrary, I think in normal situation also our SG&A, our target is to reduce from 19% to something lower over time, but we do not anticipate major change in our cost structure. As far as revenues and margin, I think I gave some of the indication of the driver that will be relevant for 2015.
Caio Carvalhal - JPMorgan: Okay. Thank you very much.
Operator: And your next question comes from the line of Raphael Veverka with Exane. Please proceed.
Raphael Veverka - Exane: Thank you for taking my question. The first one is on U.S. Just to understand what would be the upside for generating the DOC decision is confirmed by the ITC and if prices start to recover? What is approximately the share of your contract, which is either directly or indirectly indexed to nitrogen prices. So I am thinking about the U.S., but also other market? Thank you.
Paolo Rocca: Thank you, Raphael. For sure, the dynamics of the pipe logic is very important for us. It’s important for the large part of our sales in the United States because even if they are not directly tied into the formula, but this is something that would be considered in any negotiation. So it’s very important for the United States for sure. The pipe logic is also part of formulas of the long-term agreement in very -- with major oil company, a nationwide company would provide, so that it would be also in that added impact, but this is not -- you cannot estimate direct impact because usually this industry is combined with other index concerning the costs, raw material or other factor that are relevant for this. But for sure will be a relevant impact for this operation.
Raphael Veverka - Exane: Okay, thank you. And my second question was on the Middle East. Could you quantify a little bit the magnitude of the expected decline and how do you see 2015 shaping up for yourself in the region? I mean, you said in the past that you expected growth in the rest of the region to broadly offset Saudi Arabia. Is that still something you think you can do?
Paolo Rocca: Thank you, Raphael. I will let Gabriel Podskubka to answer to this question and where we see the perspective of 2015 not only for Saudi, but for entire region. Considering that there would be imagine of uncertainty in some area like Iraq, clearly there are areas in which it is not easy to trace today a path of where we could be in 2015.
Gabriel Podskubka: Thank you, Paolo. Good morning, Raphael. In fact, it is important to start on Saudi. As Paolo anticipated, the level of drilling activity there is very strong in the second quarter of the year. Saudi operated with 185 rigs, 10 rigs more than the previous quarter, so this is clear and we have been mentioning before a clear increase on operating consumption. On the other hand, it is clear that (indiscernible) is trying to produce its purchases to balance their inventories and it’s something that we will see the effect of this during the second half of 2014 and most likely also through the first half of ‘15. So we expect to have some recovery maybe in Saudi in the shipments in the second half of 2015, not earlier than that. The rest of Middle East present a mixed scenario. On one hand, you have Iraq, given the internal unrest in the country will -- it will impact some delays in projects and countries in which we participate there. So it’s something that we are closely monitoring. And in terms of UAE, there is also an increased level of drilling activity. We expect a major in tendering that we have in the next few quarters, which will have an impact on 2015 and beyond. And the other important market that is really one for us in the Middle East is Kuwait where in the last quarter, we have booked relevant orders. So our service material is very important that would give us also some strength for our P&L there in the Middle East. So this is overall summary of what we expect for 2015 in the Middle East.
Raphael Veverka - Exane: This is very helpful. Thank you very much.
Operator: And your next question comes from the line of Amy Wong with UBS. Please proceed.
Amy Wong - UBS: Hi, good morning. I had a question relating to your new mill that’s currently under construction. Can you give us an update on the progress and the ramp-up there? And secondly, related to that mill. When you made the investment decision in 2012, I mean the drilling market is quite different now. How do you see the outlook of that mill in terms of the mix and how does that support your investment there? Thanks.
Paolo Rocca: Thank you, Amy. I will ask German to comment on this, but in general, we are on schedule and on project. And frankly, I think that the definition that we had taken two years ago on the positioning of plants and the integration of industrial system in the U.S., are up to now fully confirmed by the dynamics of the market. The combination of product looks to me the right one for the market we will be facing in 2015 and 2016 and beyond. But, anyway, German, additional?
German Cura: Thank you, Paolo. Good morning, Amy. Briefly, Bay City construction continues to go on on-time as per the schedule. We are very close to complete the year’s work, the tiling work and the industrial building is progressing as planned. The major contracts are all in place. So we are very happy with the way the deployment is being managed so far. Now with respect to the positioning, I think based upon what we have said, this is a plant which will have a production range that would be centered around the shale’s requirement, 4.5, 5.5 casings. And then also, Amy, remember that today both the Permian and Eagle Ford account by we would say 40%, 45% of the total U.S. operating demand. DC said about it would take 350 miles from the location. So, it would allow us to also we believe deploy some service schemes as we have done in many other countries around the world Mexico, among others to naturally optimize some important logistics supply chain service aspects of it.
Amy Wong - UBS: How do you see the product mix going forward? Does the product mix that you see coming in the next few years still support how you initially planned, what you initially planned for this mill?
Paolo Rocca: Yes. I think, again, back to the notion of shales deployment, today they account by give or take 50% of the total operating demand, north of 50%. We typically, Amy, are not awfully specific for competitive reasons. But yet shales do account and will continue to account by a large majority of the U.S. market. And then also importantly, our users have established a very important number of existing drilling locations. By and large, most of our users are deploying today drilling programs, which only account by a very small fraction of the completely identified drilling locations. So we don’t see that changing as long as pricing fundamentals remain in place.
Amy Wong - UBS: Great. Thank you very much.
Operator: (Operator Instructions) And your next question comes from the line of Andrea Scauri with Mediobanca. Please proceed.
Andrea Scauri - Mediobanca: Yes. Hi, good morning, everyone. I have a couple of questions. The first one is on the CapEx. Could you detail as what are your expectations of investments in 2014, 2015, and 2016? And the second point, if I am not wrong, you should have a net cash position in the region of $4 billion by 2016. I was wondering what are your plans for this cash, if you are thinking about potential distribution of this cash or you wanted to maintain this -- you wanted to keep on accumulating this cash in order to benefit from potential opportunities on the market for external growth? Thank you.
Paolo Rocca: Thank you, Andrea. On the first question, we are in this moment committed to an investment plan in the United States, but not only the United States, many other different regions. This will require the year 2015 around $1 billion investment. This is -- we will increase in the coming quarter what we are doing today probably in the range of $300 million per quarter, this range. Then in 2015, we will maintain the pace which we are incurring investments in the range of $1.2 billion. This is what we can see today. This could be changes anticipation of delay or some other program, but basically these are the main view for our CapEx program. Then, what we can see today would be a reduction over time for our investment, because the Bay City mill is obviously a very large investment for Tenaris. This is -- sorry, the first question. Second question, how we will manage our financial position. Well, I think the -- really the energy sector and the world is into a stage of transformation in many different region and this transformation has been driven by regional equilibrium shift, is driven by change of nature of exploration of oil and gas shales, the quarter and so on. And I think that we should also consider all our options as Tenaris to position Tenaris in this changing world. So we think that it is a plus in this moment to defend our strong financial position and consider all the options we may have looking into the future. Up to now, this is how we are seeing, let’s say, our financial management.
Andrea Scauri - Mediobanca: Okay. Thank you.
Operator: And at this time, we have no further questions.
Giovanni Sardagna: Well, okay. Then, thank you all of you for participating and we hope to see you in October in New York for our investor presentation. Thanks.